Unknown Executive: Good morning, ladies and gentlemen. We bid you welcome to the presentation of results for 2013. The results that were published this morning before the stock opened are also available at our website, enagas.es. Mr. Antonio Llardén, President of Enagás, will be leading this conference that is wishing to last around 20 minutes. And then we will open the Q&A round, as we usually do, that will try to answer with as much detail as possible. So thank you very much for listening. And I give the floor to Mr. Antonio Llardén. 
Antonio Llardén Carratalá: Good morning, ladies and gentlemen. I bid you welcome to this conference call, and thank you very much for your attention. The results that we're about to introduce here are meeting the objectives set, as well as the engagements that we set for ourselves for 2013. I'm going to structure my intervention into 2 parts. First of all, I will summarize the results for Enagás in 2013 and I, obviously, will comment on the most relevant aspects. And secondly, I will share with you the objectives that we have set for 2014, and we will see how we are achieving our business process for the period 2013 to 2015. I will begin my presentation by highlighting that once again, the company has overcome the objectives set for the various sides [ph]. And this is the seventh year on a row that this happened. It has been crucial to have a tight grip on operating cost. We have improved our average borrowing costs below what was expected in our annual objectives, and obviously, the positive contribution from our acquisitions, the acquisitions that were carried out by the company. 
 As the year progressed, 2013 progressed, and as we announced during the quarterly interventions last year, our scope of consolidation has evolved and have been consolidated. We completed the acquisition of Naturgas Transporte during the month of March. And we have consolidated throughout the year, throughout the period our investments in the TLA Altamira and GNL Quintero in Chile plants, as well as the underground storage facilities set in Yela that started operation mid-2012.
 So I'm now going to talk to you about the different figures. There has been a better performance of revenue when compared to costs that has allowed us to have an EBITDA of EUR 1.028 billion. That is 10% -- a 10% increase compared to 9%, which was what we established in our budget. We have had a net profit of EUR 403.2 million. That is 6.2% over 2012. That is exceeding our initial target, which was set at 5.5%. The international acquisitions have contributed to our growth in profit. It's about 30%. This increase of our annual net profit, combined with the payout, 75% payout approved by the Board of Administrators for the current year, will mean an increase of the dividend of 13.8% in 2013. This increase exceeds 13%, which was targeted as an objective for 2013. 
 In 2013, we also have invested EUR 531 million, which is a figure that is a bit lesser than what we had budgeted. And this is due to the fact that we did not set up our Castor underground storage facility. The value of assets that have been put in operation was of around EUR 546 million. Those figures include the acquisition of 90% of Naturgas Transporte. And in 2013, Enagás has continued with its gradual international expansion by carrying out 2 investments. First of all, we have consolidated our presence in GNL Quintero in Chile through a joint venture with Oman Oil Holdings that has made us the main shareholder. And during the month of August, we were awarded a contract of Soto la Marina in Mexico, which means that we have to build, operate and maintain this structure for 20 years or over. Both investments meet Enagás' 5 strategic criteria for our international investments.
 The solid financial position of Enagás is one of the strong points of the company. First of all, our net financial debt as of 31st December 2013, stood at EUR 3.773 billion. Secondly, we maintained a debt structure that is adequate with an average maturity of approximately 6 years, 73% of fixed rates and a presence of financing that is becoming greater. And thirdly, our average cost of debt is around 3.02%, below our 3.25% included in the forecast for 2013. And as I already told you, this has allowed us to improve our net revenue. So fourthly, our liquidity at the year-end 2013 was around EUR 2.114 billion, which enabled us to have high solvency levels whilst continuing to develop our investment plan. 
 During 2013, we have made significant progress with regards to liquidity and financial structure. Firstly, we have eliminated the structural subordination between Enagás, S.A. and Enagás Transporte. This operation, we have achieved more flexible financing and future issues will also have corporate rating. We also have successfully refinanced the maturities due in the next few years, 2014 and 2015, with the resulting positive impact of our net finance expenses. And finally, we have signed a new refinancing facility, multicurrency refinancing facility. It is a EUR 1.2 billion line, which has allowed us to extend our credit facility from 3 to 5 years whilst maintaining a comfortable liquidity ratio. These efforts have been recognized by Standard & Poor's and Fitch, which have both confirmed their ratings and have upgraded their long-term outlooks from negative to stable. They have gone from negative outlook to stable in the long term. 
 And now I will briefly refer to the gas demand evolution. The conventional demand that is industrial and domestic commercial sectors has remained practically stable. Total gas transported by the Spanish system has gone up to 399 terawatt hour, which means going down 4% when compared to 2012. This is mainly due to the fact that demand for gas for the electricity sector fell by 33%. The rest of the demand that has to do with gas transmission to the Spanish gas to be consumed outside of Spain increased 23% when compared to 2012. More specifically loading LNG tankers at regasification plants increased 40%, exports grew 23% and transmissions to Portugal were up 5%. Our forecast for the next year will be that total demand for gas will increase around 5% because there is a gradual recovery in demand for electricity generation and a considerable increase in transmission through our gas system.
 As for regulation, as you very well know, 2013 has been a year with no significant changes with regards to the regulatory framework. Ministerial Order 2446/2013 published in December maintained the remuneration methodology of previous years and establishes a remuneration for regulated activities for 2013 in the lines of the company's expectations. In January, access tolls increased by 2.3%, which has a positive contribution to reducing our burgeoning deficit in the gas system. The Ministry of Industry has announced that during 2013 -- 2014, there will be a review of regulated activities in the sector in order to resolve the system's accumulated deficit, which is not obviously comparable to the electricity sector. And in our opinion, it does admit feasible and affordable solutions. 
 And now if you'll allow me, I will give you some of [indiscernible] of our specific targets for 2014. First of all, we need to achieve 2.4% growth in net profit and the annual dividend, maintaining a 75% payout. We will have an investment in enterprise value of EUR 625 million. That is in line with the strategic update that we have already announced. 35% of this investment will be in regulated assets in Spain and the rest will be in international acquisitions and projects. Another target is that to keep debt ratios within the strategic plan target with a net debt/EBITDA multiple of 3.8x and an average cost of debt at around 3.3%. 2014 results already take into account changes to accounting regulations. As a result, our BBG regasification plant in Bilbao and Altamira, regasification plant in Mexico, investments will be under equity method, contributing only their net profit. 
 The 2013 targets that I just mentioned slightly improve those established in our 2013-2015 outlook announced a year ago. As this update shows, this update of our 2013-2015 strategic plan, regulated activities in Spain will continue to be our main priority. The investment efforts we have made will continue being essential to providing an efficient, high-quality service to the Spanish energy system. We are also going to maintain our current payout and an attractive and sustainable remuneration for investors. 
 Finally, Enagás is still studying opportunities for growth outside of Spain, taking into account our 5 strategic criteria. All of our investments or acquisitions have to comply fully with our criteria for risk return, financial structure, core business asset types and control of the companies we invest in so that we can increase our returns through our know-how. 
 On this line, on January 31, we announced an agreement to acquire 22% or 20% of Transportadora de Gas del Perú, TGP, the largest transporter of natural gas and condensates in Peru. And this acquisition is dependent on TGP shareholders to exercise or not exercise their preemptive acquisition rights. This investment is consistent on how our profit and debt objectives and is, of course, a perfect fit for the international growth strategy set out in our strategic update.
 So finally, as a conclusion, I will say that the results we are reporting today meet and even exceed the targets we set a year ago. The current economic conditions are still tough in Spain, as well as internationally and in Europe. But it is true that since the end of 2013, we started seeing some positive indicators. In Enagás, we are making additional efforts and we have been capable of adapting to the next -- to the new situation. And this has allowed us to fulfill each and every one of our commitments for the seventh year in a row. This commitment with the markets is shown by our actions, which since the beginning of our strategic plan in 2007, has outperformed our reference index, that is Ibex 35.
 All through this year, when the regulatory revision that has been announced by the ministry for the gas sector takes place, we will update our forecast and we will inform the stock about this -- the market about this. So I thank you for your participation. And I do invite you to ask some questions, which we will try to answer in the greatest detail. Thank you very much. 
Operator: [Operator Instructions] The first question will be asked by Mr. Javier Suarez by Mediobanca. 
Javier Suarez Hernandez: I am Javier Suarez from Mediobanca. I have 3 questions. The first one has to do with timing, the government and the regasification sector revision because I seem to feel that the process is being accelerated, and I wanted to know if that is your feeling as well because in previous [ph] conference calls, you said that it wasn't the priority of the government. But now it seems that they want to accelerate this process of reform of the gas system. Apart from the timing, I also wanted to ask your opinion about the regulatory revision that the electrical transmission system is undergoing. Although this is not your business, you might be able to comment on this. How have you seen this revision of Red Eléctrica situation because they already talked about the situation? And seeing what is happening with Red Eléctrica, I wanted to know if you could give us some indication about what this could mean for you, what revision in parallel to the one that is being carried out with Red Eléctrica might have on Enagás. And the third one has to do with the deficit of the gas system. I would like to get your last vision on what would be necessary with regards to tariffs so that we can solve the situation without Castor's operation? 
Antonio Llardén Carratalá: [I'm really sorry, but no sound is coming through.
 So if an answer is being given, we can't hear it from the interpretation booth.]
 [Technical Difficulty] 
Antonio Llardén Carratalá: Yes. I'm going to give you some answers. With regards to timing, officially, we haven't been given any indications by the regulator. We have no roadmap. But we think, thanks to the regular contact that have been established with the ministry, that during the first semester, maybe during the year's first semester or during the second semester, we will be giving some news in that sense. And I also wanted to remind you of the fact that regulatory changes that might take place, if they require legal modifications, for instance, laws, then that could entail a longer period. So with -- that is why we're saying that during 2014, following the conversations we've had with the ministry, we might be getting some news. But we can't really give you a roadmap. So I'll summarize that. Maybe during the second semester, we will get some information. But if there need to be changes in the law, maybe the whole process will take longer as it is happening with the electric system, so it will be done during all of 2013. And as for the electrical revisions, I'm not going to improve the indications that Red Eléctrica is giving about the company. So I'd rather not give you any information. I just wanted to say that the market seems to have received positively these changes. But for the gas system, obviously we still have to see whether the transposition of the schemes that have been used, the electrical system, can also be used here. You have to remember that in the gas system, we have different business units to the ones that can be found at the electrical system. So we don't really have an information that will allow us to say whether they're going to be applying exactly the same criteria. We will see that. But I'm really satisfied. And I wanted to say that I'm really satisfied with the way we are having a dialogue with the ministry. We actually have a dialogue with the sector. And I trust that during these next few months, we'll be able to share more information with you, as I said. Maybe at the end of the first semester, we might have a general idea of what the situation might be. And as for the gas deficit, I have to say that the deficit of the system might be of around EUR 320 million, out of which 95% come from 2011. During the year 2012, there was no deficit. And during 2013, maybe there was a deficit of EUR 15 million to EUR 20 million. So that is a deficit that has been accumulated as of today. And for 2014, it will depend on the assets that might be included in the system. You were talking about the Castor facilities. And this might give us, I don't know, EUR 200 million more. So we see that anyhow, these figures, the deficit figures, are not -- are not far from what has been considered in the electrical system. So this confirms the idea that within the general framework of regulatory reform, we might find solutions that don't need to have the impact that they have had in the electrical system because, as you have seen, the characteristics are very different. But anyhow, until we don't finish this regulatory revision, we won't be able to give you any final indications in that sense. It's also very good news, and I have actually referred to it. The fact that the ministry has very early published the reforms for 2013, they have had an increase in their toll, 2.3%. That's the correct increase. So I think that in the gas system, except for certain things that are still present due to things that have been inherited from the past. We still have a deficit, but it cannot be compared to the electricity system because that system is more complex than our system. 
Operator: Next question comes from Carolina Dores from Morgan Stanley. 
Carolina Dores: I have 3 questions here. The first one has to do with your estimate, your estimate with regards to the growth in gas demand for 2013, because until yesterday, demand was around 2.9% lower than 2013. Which are the factors that you think will push the demand up 5% in 2014? And my second question is if demand is around 3%, what will be the effect of the deficit? And my last question is if you can't buy the stock in Peru, will you change your investment for the year? What will be the decrease of investments, $200 million to $300 million? Or are you working on other investments that you can announce for this year? 
Antonio Llardén Carratalá: First of all, the demand for 2013 has been calculated considering that conventional gas demand might stay on the line of what we saw last year, maybe with an increase of around 1%, which is the trend that we think will take place. And if the economy improves, then the increase will be greater. Electricity, even taking into account the low gas consumption, it has -- we do consider that just by taking into account the humidity and historical use being the average of last year's, will lead us to an increase of demand of gas for electricity. But we are obviously taking into account low levels of combined cycles instead, last year was the year of higher [indiscernible] in the last 15 years. So that shouldn't be reproduced. It's true that during this first month, we have had very good results. But still 11 months have to go by to see what happens. And as for transported gas versus the Spanish gas system, not for use in Spain but for -- but in order to reexport, we do think that we will all see an increase, a 19% increase when compared to last year, which would lead us to that total amount I shared with you saying that total transported gas, which has to be closely related from the point of view of the total system, would go over 300 terawatts. And we have said 5% increase. So we're being optimistic but from a cautious stand with regards to demand evolution. We are going to try and do 3 demand forecasts. The first one is the one that we are doing here. The second, then we will do it after -- we will do this after the cold has gone by. And we will follow the trend of international bodies. We can't have a 15 -- a forecast every 15 days because that generates confusion, and we wouldn't know what these figures really are. So once the cold finishes during April, May, we will have a second forecast. And when we reach the month of October, we will have another forecast. That is when the gas system is more active. And we have forecast for 2013 to 2014 -- 2015 for the Peruvian investment. We have been mentioning what we were going to be doing since our forecast started. And if everything goes right, we will be buying it and we will have overcome our targets for the year. But if that is not something that is feasible, then we would have to follow on other projects that we have. But we are quite at ease in that sense because we're not in a hurry. We have many projects available. 
Operator: The next question will be asked by Mr. Gonzalo Sánchez-Bordona from BP. 
Gonzalo Sanchez-Bordona: I have a couple of questions. With regards to Castor, I wanted to know if you could give us an update with regards to the process, the plant, the facilities that are not working. Do you have any expectations? Do you know when gas injection will take place or during 2015 and how that could have an effect on your CapEx? And I also wanted to clarify whether in 2013, that has been taken into account or not. And how do you think that will have an effect on 2014-2015 in the general results? And as for the CapEx this year, I wanted to know by taking a look at your objectives and international activities, I see that the international activities have to do with the operation in Peru. So if there were to be other interesting operations, if those CapEx objectives could increase and up to what point could they increase? 
Antonio Llardén Carratalá: With regards to Castor, the process, as you very well know, this is something that is being controlled by the Ministry of Industry. And according to the information that we have been given and that you have been given as well, the ministry asked for us to freeze the testing period of those facilities. And until the ministry doesn't review all the technical reports that they have asked for, we will not be setting it up. But I also want to tell you that we are being cautious, and that is why we haven't included in our CapEx any investment in this activity in Castor. We just wanted to be cautious. That is why we didn't include it. And as for the second question, as I already told you, with regards to international investments, according to those 5 strategic targets that we have established, those strategic criteria, our global investment for 2013-2015, we have a set figure. And what we do is to break it down for all of the years included in that strategic period. But what we have to cover with that amount is 2013 to 2015. So if we have an operation now and there is another operation after that, instead of doing it year-on-year, what we need is to really respect those investment global figures for that period with the characteristics that we have shared with you. 
Operator: The next question will come from Mr. Javier Garrido from JPMorgan. 
Javier Garrido: I had a question I wanted to ask you with regard to your estimates on the gas deficit that you have mentioned. The government, in the report that comes with the proposal of tariffs, talks about EUR 400 million. But that was -- before there was an increase in tolls. But although there has been an increase in tolls, the difference between your estimate and that of the government seems to be quite big. So I wanted to know in your opinion, what makes you be more optimistic than what the ministry has set? Is it due to the higher demand? Or is it due to some other factor that might have an influence on your expectations, on your optimistic expectations with regards to new tariffs? 
Antonio Llardén Carratalá: The initial report that we have been working with, there is a total figure of around EUR 400 million. But 3 things have to be taken in consideration. First of all, we have not taken into account during the draft of that report the impact of the increase of tariffs that has taken place later on. Secondly, it will depend on the final demand obviously. And probably, the report was drafted with some early provision, some early forecast that were not as optimistic as these forecasts. And thirdly, and that's the most important reason, this report is taking into account that all the facilities that were still pending would be working on 2014. So instead of the EUR 200 million that I had given you, there would be a total of EUR 400 million. But if we take into account the impact of tariffs and if we adjust the demand and we could discount what the demand is going to be, it is not the time to do so, but the demand could be different. And also we have had to take into account the hypothesis of the fact that for 2014, it would be very difficult for all infrastructures, all facilities to be working. So that is why we have given you that figure. But the differences are not huge differences. We're talking about minor adjustments. And if it doesn't take place in 1 year, it will take place in 2 years. So it wouldn't have a dramatic impact on our results. But obviously, we have to wait for all the calculations to be done by the regulator, and then we would have complete information. 
Operator: Next question is going to come from Ms. Virginia Sanz from Deutsche Bank. 
Virginia De Madrid Grosse: I have a couple of questions. The first one has to do with the regulated business in Spain. I wanted to know, with the investments that you know as of today and the current regulation, when do you see an increase of regulated income in Spain? And I also wanted to know if you could tell us what's the EBITDA that has to be deconsolidated next year due to Altamira and the LNG line? And I also wanted to know if you could give us a 5-year forecast? Taking into account the investments, including Peru here, what do you think might be the percentage of investment side of the business to your net revenue? 
Antonio Llardén Carratalá: First of all, for the next 4 to 5 years, also the investment amount for regulated in Spain will not be that which we were used to 2 to 3 years ago of around EUR 600 million, EUR 700 million. We do think that there will still -- we will still have to have an investment to make. And the 2 clearest examples are the 2 regasification plants that we have to build and maintain during the next 5 to 6 years. So we will maintain a sort of growth in the regulated income. But after 6 to 7 years, I don't really know what will happen because in order to know that, we would need to have the new plan, the new regulatory plan that will go up to 2022, which we don't have yet. So I can't give you a forecast that we would go beyond those 5 to 6 years. But for this period, regulated income in Spain, we still have an investment flow that is enough to maintain a certain growth. And as for the international situation, I have to say that as of today, we have our 2013-2015 planning, and we couldn't really do another plan for the next 6 years. We couldn't ad lib that much. But this investment could represent 5% to 6% of our net revenue, but it would be 1/3 of our growth year-on-year as represented by this international investment. And this could grow in the future. But I can't right now do a 6-year forecast because we haven't finished our plan yet. But when we do a revision of the regulatory situation, then we would enter this field with greater detail. And as for the deconsolidation of EBITDA, we can say that the figure is similar to that which we have for 2013. This deconsolidation of EBITDA that is mandatory from the accountant point of view would be the same one more or less in 2013 that we had in 2013. 
Operator: The next question will come from Mr. José Ruiz from Macquarie. 
José Ruiz: I just have one question to ask. Could you, please give the figure according to your estimates with regards to transported volumes for 2014? Could you say what would be the growth with regards to natural liquid gas? And what would be the equivalent in transported gas by gasoduct? 
Antonio Llardén Carratalá: With regards to national demand, we would currently have around 55% to 60% comes from gasoducts and 40% to 45% comes from regasification plants. If we talk about demand that is not to be consumed in Spain, that transported demand, what we call transported demand. For instance, loading in LNG tankers, we think that 2014, when compared to 2013, would see a 29% increase. So that would be 41 terawatt hour of loading. And our transmission to Portugal and exports to France, we would more or less see, in the case of France, for instance, we would maintain the exports or maybe an increase of 2% to 3%, and with regards to Portugal, a 10% increase more or less. But those are the figures. But most of the reexportation demand comes from LNG. But you need to understand that the forecast that we are doing here are quite adjusted from the global point of view. But each operator uses one way or another, depending on their contracts and their availability. But the general idea is that transported demand, the one that will not be consumed in Spain, will increase quite a bit and the Spanish one will increase a little bit, maintaining the trend that has been seen during the last 2 years, not just in Spain but also in Europe, which is using gasoducts because LNG is the one that is being served in all of Europe and in the U.S. to reexport to the Far East. 
Operator: There are no further questions in the Spanish line. We will now -- our next question comes from the line of Maurice Choy from RBC. 
Maurice Choy: I've got 2 questions. The first question is actually on your international investments. Obviously, so far, all your investments have been Latin American-based. I just wanted to know in your pipeline that you're looking at, what other regions you may have and if you could just speak around that. And the second question is on obviously the gas sector regulation. There is an election next year, and I just wanted to know how you see in terms of timeline whether or not the government will push for a faster review just to finish it before the elections. 
Antonio Llardén Carratalá: We have already said that international expansion projects, the ones that we are considering, are determined considering those 5 strategic criteria that you already know of. And we don't really think about whether it is pipeline or regasification plants. We have to think that the whole of the project is interesting. For instance, in the case of Peru, in this case, it is a huge transport infrastructure, very similar to the ones that we are used to operating, to maintaining and to building. So from that point of view, it really fits with our strategy. And on the other hand, I already said that what's important are the projects, but we also chose some target countries, which are those where we do think that economic growth, as well as demand growth, energy demand growth and gas issues are at an expansion time and that offer legal regulatory conditions that we consider stable. So we think that regulatory issues shouldn't have an impact in the next 2 to 3 years. So we don't really think that, that is an element that should worry us. 
Operator: Our last question comes from the line of Olivier Van Doosselaere from Exane. 
Olivier Van Doosselaere: I have, indeed, a few questions. Firstly, when we look at the indication of the investments that you expect to make for 2014, EUR 650 million [ph] enterprise value. However, clearly, there's a chunk of that which is international investments that would probably be more minority stakes, while you indicate that only half of that will be equity index. And so if we take that into account, it looks like your total CapEx for this year there affecting your debt might be below EUR 450 million, so a delta of about EUR 200 million versus what you previously guided to invest on an annual basis. I was wondering if that extra EUR 200 million might prompt you to maybe think about revising the shareholder remuneration policy. And notably, I was wondering if you believe that there is some scope over the medium term to possibly increase the payout ratio. Or why not, if you could be considering to start looking at share buybacks? That's one question. And the second one, on the international investments, I was just wondering what you have in terms of visibility on the pipeline. Do you already have some concrete projects that, other than Peru, that you might be looking at? Or is this still at the very early stage? 
Antonio Llardén Carratalá: I don't really have all the figures broken down. But I can tell you that in our 2013 to 2015 plan, we have a series of investments. And the figures that we have introduced for 2014 do match the requirements of what was done in 2013 and what we will do in 2015. So there aren't really big changes ahead. And obviously, since we're working on a 3-year period, the provisions, the forecast for 1 year could be a big -- greater or smaller than we had considered. But I think that we're following the right path so that at the end of the period, we have really met all the criteria and we have really reached all the objectives, all the targets that we have set. So we could obviously break it all down personally, but this is not the time to really make a breakdown of all the figures. And as for payout, I already said that for 2013 to 2015, we have a 75% payout that we are going to respect. So there are no changes foreseen for 2014 or 2015. In 2016, we'll see what can be done. And we will be able to talk about this aspect, as well as others. And as for remaining projects and what is on our pipeline, well, we have an international general director with a staff that is very well-qualified that are following up on all the opportunities that are to be found worldwide. We don't have any specific projects. We can't really say, next week, we'll be doing this or that. We are studying operation-by-operation. But I can tell you that as of today, we detect all the operations, we study many, many operations. And our objective would be that of having 1 to 2 operations a year that would fit our criteria. So we study many operations, but none -- no specific projects are on the table for the near future. But I think that we will be able to finish 2013 to 2015 as we have up until now, which is really respecting our investment objectives in the... 
Unknown Executive: If there are no further questions, we will end the conference here. Thank you very much for listening.